Matt Watanabe: Thank you very much for viewing the Honda Motor Co., Ltd.'s live broadcast of financial results announcement for the second quarter of the fiscal year ending in '21. My name is Watanabe from corporate communications, the moderator for this announcement. First of all, I'd like to introduce the attendants attending today. We have Mr. Seiji Kuraishi, executive vice president, representative director.  
Seiji Kuraishi: Good to see you, everyone.
Matt Watanabe: And then we have Mr. Kohei Takeuchi, senior managing director.
Kohei Takeuchi: Good to see you, everyone, as well.
Matt Watanabe: This financial results announcements with the COVID impact, we have no audience on site, and this is going to be an online broadcast. Thank you very much for your understanding and cooperation. So first of all, we like to have Mr. Kuraishi, executive vice president, to explain the financial results for this term.
Seiji Kuraishi: The COVID-19 was spread around the world since the end of the fiscal year ending in March 2020. It continues to raise around the globe even today, bringing serious damages to the economy. However, in the second quarter of this fiscal year ending in '21, economic activities have been reopened in many markets with resulting gradual recovery in demand. In some markets, the second wave of the pandemic has arrived, and the situation remains unpredictable. But Honda will continue to be thorough in its actions to prevent infection and proceed to supply products to the market in a timely manner. Now, I would like to present to you the outline of the financial results for the second quarter and the full-year forecast for the fiscal year ending in '21. Starting with the unit sales of Honda Group cumulative to the second quarter of this fiscal year, it was 6,322,000 units for motorcycles, 2,045,000 for automobiles and 2,453,000 units for Life Creation business. Next, I'd like to explain the situation in each of the main markets. First, to look at the Japan market, the total market is showing a moderate recovery from the impact of the COVID-19 since May. However, due to the last-minute demand before the consumption tax hike in the previous year, the total demand was considerably lower than compared with the same period last year. Honda's unit sales undercut last year's number. But looking at these unit sales by model, N-WGN and new Fit surpassed the sales in the same period last year, meaning a recovery in the second quarter. N-BOX series set No. 1 in new car sales for the first half of the fiscal year ending in '21. Our outlook for the total market demand for the fiscal year ending in '21 remains unchanged from the previous forecast. And it is expected to be lower than previous year. Due to the market slowdown, Honda expects to see lower sales compared to the previous year, but in view of the recent sales results, we have revised our forecast upward from the previous forecast. In the U.S. market, the total market demand has been gradually recovering since May due to the phased easing of regulations and economic activities and reopening of the dealer business, but demand was lower than the same period last year due to the decline in the fleet market. Honda's unit sales were lower than the same period last year, but we are seeing recovery at a better than market pace, mainly with CR-V and Civic. And Civic maintained the lead in this segment with its high product features. Also, at the end of September, a new TLX was launched as well. Total market demand for the full year ending in '21, beginning with the second half of September, our COVID-19 cases have been increasing again in number, mainly in the Midwest. So the outlook remains uncertain. The forecast is for lower demand compared to the previous year. Honda expects to see lower year-on-year results in the face of this uncertainty of the market. Next, looking at China, in addition to the resumption of economic activities, consumption stimulus measures were taken so the total market exceeded the same period last year. Honda has favorable sales of models such as Breeze, Vezel and XR-V. And also in the second quarter, we launched three models, namely Civic Hatchback, Fit, and Envix hybrid, which actually brought us better than market growth. From July to September, single-month sales results marked record-high numbers consecutively for those three months. For calendar year 2020, the total market demand exceeded that over last year from April to September. But as the market took a huge decline due to COVID-19 in January to March, the impact of which could not be fully recovered. So the total market is expected to be lower than last year. Honda, with the launch of new models and running factories at full capacity to increase supply to the market, is aiming to exceed sales higher than previous year. We have revised our forecast upward from the previous forecast on the basis of the recent sales situation. Now, turning to motorcycles. The impact of COVID-19 differs significantly from one region to another. In China and in the U.S., due to the trend of using motorcycles instead of a public transport, added to the heightening outdoor leisure demand, the market has almost fully recovered. On the other hand, in Asia, the largest market, in addition to the impact of COVID-19, due to the tightening of loan screening criteria in Indonesia, the market contracted in Asia year on year. Honda, despite strong sales in China and the U.S. and in India and Brazil, we restarted production in June, and it is steadily recovering sales. But still, we saw its sales fall below the same period last year. The total market demand for the fiscal year ending in '21, we expect that even though the recovery trend continues in many markets, Indonesia will still see continued decline in personal spending due to the tightening of loans. Therefore, no prospect for rapid decline that the market will be lower than the previous year. Honda expects lower sales in Indonesia and some other markets, but higher sales in markets, including India, Brazil and the U.S. So on our forecast on a global basis is for sales equivalent to the previous forecast. Now, moving on to the outline of the six-month results for the fiscal year ending in '21. The first quarter brought us very, very challenging situation with the impact of COVID-19. But with this environment of living with COVID, we have proceeded with solidifying our existing businesses further, and at the same time, we have made a fundamental review of our business activities across all areas to secure a strong resilient business constitution that support future growth. As a result, our better control of SG&A expenses and cost reduction, those brought us a turnaround from the first quarter, bringing an operating profit of JPY 169.2 billion for the six months. Profit for the period under review was due to the contribution from profit from investment based on the equity method, it was a JPY 160.0 billion. The unit sales and income statement are as shown on the slide shown here. Moving on to the forecast for the fiscal year ending '21. For unit sales, we have increased our automobile forecast from the previous forecast, considering the favorable sales in China and other markets and also increased our Life Creation business forecast in view of the strong sales in North America. For operating profit, incorporating the business constitution reinforced in the first half where our estimate is JPY 420.2 billion, an upward revision of JPY 220.0 billion from the previous forecast. Though the future of the market remains uncertain due to the COVID-19, but with our initiatives to curve SG&A expenses and to reduce cost further, Honda will aim to enhance its business characteristics further. Profit before taxes, due to the increased investment profit share due to the equity method, are expected to be JPY 660.0 billion. Once again, the unit sales and income statement are as shown. Next, about the dividend. Forecast for the full-year dividend for the fiscal year ending in '21 is due to the operating profit and the increased investment profit based on equity method. Compared to the previously published forecast, dividend bought per share has increased by JPY 24 to JPY 68 per share. And for the end of second quarter, it will be JPY 19 per share. Next, I'd like to hand over the microphone to Mr. Takeuchi, senior managing director, chief financial officer, to present the details of the financial results and forecast.
Kohei Takeuchi: Thank you. Now I, Takeuchi, am going to explain starting with the FY '21 second-quarter financial results consolidated. On the group unit sales of motorcycles, increased in Pakistan, Philippines, and Brazil but decreased in Indonesia and India. Our unit sales of automobiles decreased in Japan and Indonesia, and at the same time, increase is recorded in China and the United States. Income statement. Sales revenue. There was an increase in sales revenue in Financial Services business, on one hand. Decrease, however, in automobile business and negative effects of FX translation. So it resulted at JPY 3,651.3 billion operating profit. Although there was a decrease in profit attributable to decreased sales revenue and model mix, operating profit stood at JPY 282.9 billion due mainly to a decrease in SG&A and cost reduction efforts. Next, to explain change in profit before income taxes. Profit before taxes for the second quarter FY '21, owing from to the reduction of SG&A and the efforts to cut down on costs, was JPY 345.7 billion, which is up by JPY 56 billion year on year. Operating profit, JPY 282.9 billion, up by JPY 62.8 billion. Performance by business segment. Operating profit of Motorcycle business was JPY 68.4 billion, given decrease in cost down, the cost of benefits and SG&A expenses. But due to the lower sales revenue and model mix changes, was JPY 68.4 billion. Change in the overall situation was quite noticeable. Next, turning to Financial Services, JPY 93.2 billion. Life Creation business and others. Sales fluctuation and channel mix exchanges, so the number that you see here. For others, please note that for aircraft and aircraft engine losses, which are categorized in others and also in Life Creation business, was JPY 8.1 billion. So summing up, the operating profit for automobiles and the automobile sales portion of the financial services was JPY 214.6 billion. FY '21, six months profit and losses are shown here. To explain profit before tax, was down by JPY 307.1 billion. Operating profit, because of the cost reduction and SG&A expenses, which was offset by sales revenue decline, was JPY 169.2 billion, down by net JPY 303.3 million. Turning to the quarter, six months total, JPY 57.9 billion. Cash and cash equivalents at the end of the second quarter was JPY 2,626.5 billion. Net cash stood at JPY 1,843.9 billion. Now, to explain about FY 2021 consolidated forecasts. For the Honda Group's unit sales of motorcycles, the same as previously forecast at JPY 14.8 million. Automobiles, upward revisions for China and Japan means they're further increased by 100,000 units at 4.6 million units. Life Creation business, up by 190,000 units at 5.5 million units. FY 2021 consolidated business forecast, as you see here. Changes from the previous fiscal-year actuals. Due to the decline in the unit sales, and also because of the sales mix change and FX negative impact, the year had positive benefits coming from the reduced SG&A and other costs. So JPY 420 billion operating profit is planned. And now, on a vis-à-vis the previous forecast made for the full year, increase in the unit sales and also the cost reductions such as for SG&A and others, JPY 220 billion upward revision on the full operating profit. Finally, FY 2021 capex, depreciation, and amortization and R&D expenditure, as you see here, and that completes my explanations to you. Thank you very much.
Matt Watanabe: Thank you. And with that, we conclude the FY 2021 Q2 results presentation. Now, from this point onward, we are going to receive questions from the members of the media. As we announced to you previously, we are going to receive questions through the Zoom system. We are going to resume at 15:40, 3:40 p.m. Japan time. Thank you. So until then, please wait. We are going to break for a moment.[Break] Now, we are going to move on to questions and answers. As we announced to you, prior to this, the meeting, we are going to receive questions through the zoom session. If you have a question, please use the hand icon on the screen and in the interest of time and they may suggest to him that they will be or limit your questions into two questions per person. If you have a question, please use the hand icon. OK then. We'd like to take questions from a reporter, Hanada from Nikkei Newspaper. Mr. Hanada, could you turn on your microphone to ask the question, please? Mr. Hanada? OK. Sorry, but because he is not responding, so we'd like to proceed to the next reporter. OK. Then we'd like to take the next question from Yomiuri newspaper. Reporter Shimo Sato, please?
Unknown speaker: OK. This is Shimo Sato from Yomiuri newspaper. Can you hear us OK?
Matt Watanabe: Yes, I can. We can hear you.
Unknown speaker: Refer to Pages 13 and 16 in the material. For the second-quarter sales, among the factors that contribute to the sales, the impact from the COVID-19, how much of an impact was there from COVID-19? And also, if you're looking at the first half of the fiscal year, you have a negative of JPY 488.2 billion. How much of that is due to COVID-19, would you say?
Matt Watanabe: Thank you very much for the question. To answer the first question, this was for the first quarter, I believe. The factors that contributed the fluctuations in sales, how much of an impact -- sorry, for the second quarter, how much of an impact from COVID-19? And the second question was for the first half of the fiscal year, this JPY 488 billion. Of that total decline, how much of an impact from COVID-19?
Kohei Takeuchi: OK then. Let me answer that one. Well, are they looking at Page 13? I think you referring to the year-on-year results comparison. If you look at the volume mix, it's about JPY 40 billion minus. So this is coming from a motorcycle. From a year-on-year comparison, this is consolidated number. This was a 76,000 decline in automobile and then 240,000 decline in motorcycles. But if you ask me if that's all coming from COVID-19, that's difficult to say. So most, I believe, is due to the COVID-19. But if you ask me, all the reduction in unit sales, are they coming from COVID? But if you look at the total, this is -- and all is this, the total, this is coming from JPY 40 billion decline due to this. And if you look at the six-month results, the year-on-year comparison with last year, it's about JPY 500 billion decline. If you look at the motorcycles, these 2.3 million units and 640,000 units decline in automobile, so those declines are included in here. As I explained, the results are the same. So of course, there was no COVID last fiscal year. So was it all due to COVID-19? Of course, other factors are mixed in. Does that answer your question?
Unknown speaker: Yes.
Matt Watanabe: Thank you very much. So let us move on to the next question from Nikkei newspaper. Mr. Hanada, the floor is now yours.
Unknown speaker: Thank you very much. And sorry for not being able to ask properly a few moments ago. Please wait. It seems that there's signal interference. Changes in the business environment is my broad question. Well, so far as the Automobile business is concerned, the expected ban on the sales of the gasoline on the running of the automobiles, and they're all in 2050, the target to get rid of the carbon-oriented activities in Japan. So what do you think of those expectations at Honda? And also the U.S. presidential election, how the environmental regulation or the production mix may change or not sell going forward as a result of the presidential election in the States?
Matt Watanabe: Thank you very much. So two questions. Number one, in Europe and the United States, are there prohibition to sell the more gas-running automobiles and Japan's announcement to get rid of from the carbon-oriented business activities in 2050. And the second question has to do with the outcome of the U.S. presidential election. How, when one considers, that it might impact the future the environmental regulation or the protectionism? Thank you.
Seiji Kuraishi: Well, of late, yes, on top of the Prime Minister Yoshihide Suga's declaration in the U.S., U.K. or Europe, order flourished. The conventional gasoline in the operated vehicles are likely to be shifted to the new types of fuel. So the interest is becoming higher and higher toward the electrification of automobiles, among others. At present, Honda's view is that we incent the reference to the HEV in the vehicles, electrification or that sort of move for the engine technology. And so that our aim is to electrify two-thirds of our global automobile unit sales in 2030. That's for Honda. In all regions and different regulations or the penetration of those mandates and we will be witness, not to mention the appetite and changes from the all-from other customers in the regions. So for each and every region, whatever would be the characteristic of Honda, that is going to be our point of emphasis. That means the alliance with GM in the States, there was the agreement in China. So these are the exemplary arrangements. And of course, we regard that the inclusive of the electrification or the promotion of HEV vehicles, we would like to be the tech being considered. Our President said, Mr. Hachigo, that we are going to aim for the realization of carbon neutrality by 2050, so that means that we have to accelerate further. We have moved toward the electrification of cars. This was sophisticated energy power units. And all the other elements that would need to be enabled will be the areas that we are going to prioritize our resource orientation. To become carbon-neutral, everything would have to change. So things that we need to do will be not only on the Honda alone, but also together with other members of the community, so energy-related research activities that we are engaged in rather actively at Honda so that in order to realize our goal of being carbon neutral, we would like to lead the community at large. And as to the outcome of the presidential election in the United States, well, after all, the official result is not announced yet. It's a little better that we hear the official announcement of the outcome of the presidential election. Of course, the different relationship, the relations between the two countries is to be preserved and strengthened so that we can continue to provide our proud vehicles into the States. So at the same time, we also hear the protectionism maybe tightened. I really do hope that it's not going to hinder our business activities going forward.
Matt Watanabe: Thank you very much. Mr. Hanada, you had a second question, is that correct? If so, please go ahead, Mr. Hanada, with your second question.
Unknown speaker: That's right. I mean, the profitability of automobile business. In the reform of the automobile on the business, what is the progress to date of your working together with the GM? And also, maybe the resulting kind of reductions or the handling of results in the Life Creation business?
Matt Watanabe: OK. So GM relationship and how do we stand and how we have been able to produce the outcome of that.
Seiji Kuraishi: The profitability of automotive business has been foremostly in our mind. Now, progress with General Motors. As has been announced already, that's basically what I am able to say. Only that because although we are in discussion with GM from various angles, there's nothing further that I can explain to you right now right here. In any case, so that we can accelerate the electrification of automobiles, and it is my belief that this relationship within GM is quite conducive. Or by joining hands with GM, what we have been doing over the years, which is that you make investments in the area of the gasoline, the running automobiles. What further utilization of those technologies that we would like to consider further? And I believe that we will be able to do so, particularly now that we are working closely with GM. And the order we have established there to reduce emissions, and that's something that we are upholding because we are together with GM in these activities, we should be able to do more.
Matt Watanabe: Now, we have Mr. Inagaki from Asahi newspapers.
Unknown speaker: This is Inagaki from Asahi newspaper. I hope you can hear us. I have two questions. You said there was a recovery from China and the U.S. But for the full year, how are you viewing this? And also, there were some restrictions on the economic activities and production stopped. So how do you view that? And for the total market and then also your company's results. That's my first question.
Matt Watanabe: Thank you very much. I believe that your question is how do you view the recovery in total market demand in the States and the Chinese market for the second quarter. And also, you want to hear the analysis of the total market and Honda's results if this is a reaction after the first quarter. Thank you.
Seiji Kuraishi: The first quarter was a very challenging situation for all of us, and then we are seeing a recovery in second quarter. And then, of course, they could be. There is uncertainty about the second wave about COVID-19 in the second half. But we believe that we will have our 4.6 million units planned. This is higher than our previous one. So the unit sales is growing for focusing on China. And then we will have only 4% decline in unit sales year on year. To look at China first, well, this is where it all started, so it was that the impact was huge. However, in the second quarter, now the full sales environment has recovered and also CR-V MMC, Fit FMC, so the product lineup has been strengthened, and then marketing activities have been reinforced. So we are seeing a good visits to the dealers. And also, we are seeing good sales. And that's why it led to good overall sales results. For the calendar year, because of those new models, new vehicle launches, we will see -- we hope to see year-on-year better sales results for China. For North America, if you look at North America, well, actually, with the easing of the economy, the second quarter is seeing a recovering trend. And then for the future, unless there is -- assuming that there will be no major changes coming, our forecast is that we will get about 80% compared to last year, so 14 million. And then for the second half of September, we are seeing new cases of COVID. So we still cannot really predict the future going forward. However, we will closely be monitoring the situation and take speedy actions together with the dealers. And Honda, the sales is recovering. In September, we've taken some initiatives on incentives. So we saw good, better results year on year, month on month. But for the second quarter, third quarter, we hope to aim for the second half of the year, we hope to see better results compared to last year. Thank you.
Matt Watanabe: [Foreign language] OK. So if you have a second question, Mr. Inagaki?
Unknown speaker: Sorry, additional question. The recovery in the States, this is because the people were unable to make purchases because of the activities are restricted? And then those demand came back? That was the additional question. And then if you look at the Page 13, if we look at Page 13, the cost reduction effect, you say. And then the SG&A control, I believe we have good effects, but I'd like to hear more details about it. If you did something like reduced like business trips or something like that, I'd like to hear the actual details about what you did.
Seiji Kuraishi: Talking about the second quarter, the first one is, as you say, because of the lockdown, production was suspended, and so overall, the inventory level was just simply short, where we saw a shortage in inventory. And then now in the second quarter, we started seeing sales growth. That is one of the factors. However, at the same time, on the other hand, we made some efforts, initiatives in our sales activities. And then mentioning, so we've done some incentives. They have, like, over $4,000 incentive, but we provided about $1,800 incentive. So it has been lower. So the selling expenses has been reduced. And then that's because we were getting short on inventory. So we did not have to spend that much on incentive. That's one thing. So I think I can hand over to Mr. Takeuchi for cutting costs.
Kohei Takeuchi: For year on year, comparing the three months, we had about JPY 3 billion cost reduction, additional. So this just goes back to precious metal and other raw materials. It's actually going up. This was like a JPY 10.6 billion, over JPY 10.0 billion. So this is comparing a three-month and three-month. So we are seeing the cumulative results from the cost reduction. And then the selling price differences. So we have about JPY 50 billion plus due to the selling price adjustment on the incentive. And SG&A, of course, business trips are cut down. One big factor is within the SG&A. In North America, we have major finance operations to sell automobiles to make it easy for customers to buy automobiles. So we have credit losses. Depending on the defaulting, we have to book provisions for allowance for the credit defaulting. But that's gotten better. So this is our JPY 17 billion-plus. So that way, we have been able to cut expenses. So this led to a total of JPY 52 billion better results, actually, improvement.
Unknown speaker: OK. Thank you very much.
Matt Watanabe: So moving on to the next person. From NHK, Mr. Suboi, please.
Unknown speaker: Yes. Suboi from NHK, is it audible?
Matt Watanabe: Yes, we can hear. Thank you.
Unknown speaker: Thank you. Just listening to all the discussions and to presentations, once again, let me ask the following. Second-quarter recovery, is that in line with your recovery like in China and the United States? And there was the recovery of sales. Was that a part of your original expectation? And also, the full-year forecast on the upward revision, fine. But in the United States and Europe, the number of positive cases is on rise once again. I think you used the expression of being uncertain or opaque or whatnot. So what's sort of different strategy that would you deploy after all?
Matt Watanabe: Thank you. So the first question has to do with the second-quarter recovery, whether or not it was part of our expectations or exceeding our expectations. So please let us respond to that first.
Seiji Kuraishi: OK. As of the first quarter, whether or not we were able to have the clear expectation or not. Well, frankly speaking, the actuals exceeded our expectation. China, that was the end of the first quarter, the three months period, it was getting better. But in the United States, we really could not see through the situation at all. So in that respect, I'd say that what actually happened in the second quarter for our actual results exceeded our expectation. Now, the most recent rise in the number of positive in the patients of coronavirus, whether or not that is so much that is starting to affect our business operations negatively, not so, I'd say. However, it is also true that some of the dealers are though temporarily shutting down their doors, so they are temporary, even the closure of dealer activities. So that means that they want to work against our performance going forward. So we have to see what happens.
Matt Watanabe: We also would like to respond to your second question. So reporter Yokoyama from Toyo Kezai.
Unknown speaker: Can you hear me OK?
Matt Watanabe: Yes. Yes. Thank you.
Unknown speaker: Thank you. As announced already, the production results for September, you're seeing higher results compared to the last year. Now that your production is coming back, and the demand is -- is demand recovering? And then the inventory situation in North America, are you still have a shortage in inventory, or do you have enough in inventory? That's all of the things I'd like to ask.
Matt Watanabe: OK. Thank you. For the September production results, so is your production ready? And then is the demand coming back? And then the second question was inventory situation in North America. Thank you.
Seiji Kuraishi: OK. If you look at the September, most recently, for North America, we are back to 90% back to usual. On the other hand, depending on the model, the inventory level is short on some models. So we are making some additional production as well. The inventory is like 52 days' worth of inventory. And so currently, we are at the standard inventory level to which we are finally coming back to. But depending on the level -- sorry, the model, it varies, but we are almost back to a standard inventory level.
Unknown speaker: OK. Thank you.
Matt Watanabe: OK. Thank you. From Automotive News, Mr. Okamura. Are you there?
Naoto Okamura: Yes, I am. Okamura from Automotive News. I hope you can hear me.
Matt Watanabe: Yes, we can.
Naoto Okamura: Listening to you, Mr. Kuraishi, you talked about relationship with GM saying that there's nothing further that you can explain to us today. But what sort of expected synergy for cost reductions further? Per annum, by how much further? Or given those on the cost benefits and they can be diverted into investments in other areas, what sort of synergy would you expect altogether? And also, North America, the market is very important for you. And there, with the alliance with someone like GM, your power control or the authority, I wonder whether you would end up maybe conceding kind of your authority or the power to the Good morning. Is that ever a concern that you have in the North American market?
Matt Watanabe: OK. Again, thank you very much. We received a question relating to the relationship with GM. What will be the expectable synergy in the areas of cost reductions and how that can be used in other areas? And also, because you have the alliance agreement with GM in the North American market, is there any possible concern on the less power of influence or whatever that you may have?
Seiji Kuraishi: OK. As to the cost reduction benefits expectable, what I said was that we signed on to the memorandum. And then what we are doing right now is that we are engaged in discussions as to the content and the substance in the MoU memorandum. So I really cannot say anything more definitive. However, it is for sure that Honda is certainly in regards that there is going to be the understandable, acceptable benefits to accrue. But that said, I cannot quote any number per se. By the way, any concern about the power of control, the influence or whatnot, this is the business relationship with not a lot of capital injection. It is not the capital participation. Rather, it is really on the basis of the operations. So we know that what we are not interested and engaged in the North America and America -- North American market, we will not do it after all. So in that context, I would say that because we are working more and more in the direction of electrification of cars with the GM, maintain is the hybrid, the category of vehicles. We have the meeting of minds. So then, we regard that we can come out so good when the beneficiaries from these relationships. Certainly, we have any concern whatsoever that we have to concede on the power of control. Thank you.
Matt Watanabe: OK. Going into the next question. Next reporter, Mr. Mizudori from Daily Automotive News. Mrs. Mizudori from Nikon Automotive newspaper, yes, we can hear you. Thank you.
Unknown speaker: I have two questions. First question is concerning the domestic market. But earlier, you talked about the -- for Europe and the U.S., you said the growth was better than your estimation. But I believe you have upped your estimate by 10,000 units. So for the second quarter, was the domestic market better than expected? And then may I continue on to my second question?
Matt Watanabe: Yes.
Unknown speaker: So for the R&D cost, so you said you reduced the full-year estimate by JPY 40 billion or so for R&D cost. Would that have an impact on product development that they may -- I believe Mr. Hachigo mentioned are possibly launching a Level 3 by the end of the year? So if there's any impact, please let me know. Thank you.
Matt Watanabe: Thank you very much for the question. The first question was for Japan domestic market, so total demand and also Honda's situation. That was the first question. And the second question is about the R&D cost. So for the full year, we reduced it by JPY 40 billion. So would there be any impact from that? Thank you.
Seiji Kuraishi: OK. Speaking about the Japanese market, well, we are seeing a recovery from July to September. And then the most recent minivan sales is recovering. So compared to the 630,000 units, now we are upped it by 10,000 units to 640,000 units. So of course, the market going forward is still uncertain. However, we would like to keep a close watch on this. And then for R&D cost, so because of the COVID situation, there is a bit of a delay in development of new models. But on the full-year plan, we are still on plan. This JPY 40 billion reduction is triggered by the COVID-19. We have been doing the review of our operations across, including R&D as well. And then some of that timing of development might have been a little bit delayed, so this spans across our automobile, motorcycles and power equipment. So for any future plans, future activities, for the seeding for the future, we will still be continuing for the investment for future technology.
Matt Watanabe: OK. I am sorry, but I have to say that the next question is going to be the final question from BT Kyodo. Mr. Higashimoto, please -- sorry, Ms. Higashimoto.
Unknown speaker: This is Higashimoto from Kyodo. Can you hear me?
Matt Watanabe: Yes.
Unknown speaker: About U.S presidential election, just an added question. You said that it is premature to say anything about the future in the U.S. The official results are not out yet. However, the past four years under President Donald J. Trump, how would you summarize that four-year period? There was a tax cut. So for companies who have been really focusing on the U.S. market, there must have been benefits that you enjoyed. So what is your review of the past four years under President Trump in the United States?
Matt Watanabe: OK. The review of the past four years under President Trump.
Seiji Kuraishi: I don't think it is totally appropriate or that we are in the position of your answering that, the question, in the name of one private-sector company, and so I'd like to refrain from saying anything. Thank you very much.
Matt Watanabe: So ladies and gentlemen, because of the time availability, we are not able to probably take other questions that you may have, unless otherwise. So if you have anything further, please send that to Corporate Communications. And with that, we would like to close today's time together with you. And the presentation materials, please take a look at what's uploaded on our web page. Thank you very much for your attention and participation. The forum is now closed.